Operator: Greetings and welcome to Rayonier Advanced Materials Fourth Quarter 2016 Teleconference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Mr. Mickey Walsh, Treasurer and Vice President of Investor Relations. Thank you. You may begin.
Mickey Walsh: Thank you, Audry, and welcome to Rayonier Advanced Materials 2016 fourth quarter earnings call and webcast. Joining me on today's call are Paul Boynton, our Chairman, President and Chief Executive Officer; and Frank Ruperto, our Chief Financial Officer. Our earnings release and presentation materials were issued yesterday afternoon and are available on our website at rayonieram.com. I'd like to remind you that in today's presentation, we will include forward-looking statements made pursuant to the Safe Harbor provisions of federal securities laws. Our earnings release, as well as our filings with the SEC, list some of the factors which may cause actual results to differ materially from the forward-looking statements we may make. They are also referenced on Slide 2 of our presentation material. Today's presentation will also reference certain non-GAAP financial measures as noted on Slide 3 of our presentation material. We believe non-GAAP financial measures provide useful information for management and investors, but non-GAAP measures should not be considered an alternative to GAAP measures. A reconciliation of these measures to their most directly comparable GAAP financial measures are included on Pages 14 through 18 of our presentation. At this time, I would like to turn the call over to Paul for his opening remarks.
Paul Boynton: Hey. Thank you, Mickey, and good morning, everyone. A year ago when we addressed you on our fourth quarter call, we faced a $68 million negative impact to EBITDA from price and volume for 2016. At that time, we challenged the organization to take $40 million of cost out of the business. I am pleased to report that each and every employee responded as we exceeded our own expectation and delivered $50 million against the significant initiative. These cost improvements mitigated the majority of the price and volume impact and allowed us to deliver $226 million of EBITDA well above beginning your guidance of $175 million to $190 million. Additionally, we generated $143 million of adjusted free cash flow exceeding our goal for the year by over $50 million. Again, these financial results are the testament to the hard work and persistence of our employees. In 2016, we also took a significant step in strengthening our balance sheet and improving our financial flexibility by issuing $173 million of equity. The combination of a strong balance sheet and improving cost structure provides a solid foundation to fund future growth initiatives and drive stockholder value. Shortly, I will share additional comments on our strategy and the conditions of the market which we operate. Let me now turn over to Frank to review our 2016 financial results as well as provide guidance for 2017. Frank?
Frank Ruperto: Thank you, Paul. Now let's look at Slide 4 to review our financial highlights for the fourth quarter and full-year. Sales for the quarter totaled $231 million, 5% below fourth quarter 2015. Full-year 2016 sales were $869 million or 8% lower than the prior year. The full-year sales decline was primarily driven by a 7% decline in CS prices and a 2% decline in CS volumes. Net income for the quarter and full-year were $11 million and $73 million respectively. Pro forma net income was $67 million compared to $73 million in 2015. Pro forma results exclude one-time adjustments primarily related to the 2015 Jesup asset write-down and the gain on extinguishment of debt repurchased in 2016. Operating income was $26 million for the fourth quarter of 2016 compared to $29 million for the fourth quarter 2015. Full-year operating income was $138 million in 2016 and $120 million in 2015. In 2015, pro forma operating income was $149 million with a significant portion of the negative impact from CS sale decreases offset by our cost improvement initiative. Pro forma results primarily exclude the asset write-down in 2015. The variance analyses for operating income relative to fourth quarter and full-year 2016 are provided on Slide 5. Quarter and year-to-date variances have similar drivers. CS prices were down 8% and 7% respectively from the prior year three-month and full-year periods. Volume variances and sales mix contributed $4 million to the fourth quarter of 2016, while full-year results were $14 million unfavorable to prior year. As referenced on Slide 6, fourth quarter CS sales volumes of 121,000 tons or 5,000 tons above the prior year period primarily due to the timing of revenue recognition. Full-year 2016 CS volumes of 456,000 tons were down approximately 11,000 tons or 2% from 2015. Commodity volumes for the quarter and full-year were 70,000 tons and 249,000 tons respectively, a decrease of 3,000 tons from the prior quarter and an increase of 2,000 tons from the prior year period. Returning to Slide 5, cost for the quarter and year were favorable $3 million and $46 million respectively. Reductions in SG&A and other costs for the quarter and year contributed $5 million and $11 million to operating income respectively. We made excellent progress throughout the year reducing our costs. As shown on Slide 7, we achieved roughly $50 million of cost improvements across the organization. We are realizing savings from energy efficiencies by optimizing operation of our new boilers. We are decreasing chemical usage by both utilizing less chemicals in our production processes while increasing the recapture and reuse of caustic and other major chemicals. In wood, we're realigned our shipping assets, improved our wood yield and are strategically managing our inventory to reduce the potential for price bites. In the supply chain, we are reducing use of external warehouses, removing waste in our inventory handling and improving our transportation processes. At corporate, we are partnering with product and service suppliers to provide high quality services in a different and more cost effective manner. Favorable market conditions for certain raw material inputs further help reduce expenses by an incremental estimated $7 million. Over the past two years, our cost improvement efforts have yielded approximately $85 million of savings, which puts us on track to deliver the $140 million target over the four-year period. The processes and tools that we have utilized and will continue to hone as we deliver on our objectives will provide value to the organization well beyond the four-year period and allow us to continuously improve our cost structure into the future. These efforts allowed us to post pro forma EBITDA for the quarter and year-to-date up $50 million and $226 million respectively. In addition to improving profitability through cost, we remain focused on driving cash flow. As shown on Slide 8, we generated $143 million of adjusted free cash flow. Along with the issuance of the preferred stock, we lowered our adjusted net debt to $466 million, a reduction of $302 million in the year. This represents a decrease in net debt of nearly 50% in the 30 months since we became a publicly traded company. We remain well-positioned with $555 million of liquidity, including $326 million of cash and $229 million available under our revolving credit facility. This strong cash and liquidity position gives us the capacity to make meaningful investments in our business that will allow us to grow and diversify enhancing our competitive position. Looking ahead to 2017, on Slide 9, we anticipate CS pricing to be down 3% to 4% in 2017 from 2016 due to our previously discussed price declines in acetate and a mix shift in CS volume as we expand into more non-acetate markets at lower prices. CS volumes are expected to be flat to slightly down from 2016 levels, depending on the timing of shipments and revenue recognition. In addition, commodity sales volumes are expected to be approximately 10% higher than 2016 due to higher production efficiencies, from our cost improvement initiatives as well as the lack of a planned maintenance outage at our Fernandina facility in 2017. These commodity volumes can vary based upon our mix between viscose and absorbent materials. For 2017, we're forecasting $25 million to $30 million of cost improvements across the organization. We believe these cost improvements will allow us to offset some of the impact of lower prices and $25 million to $30 million of higher cost and inflation. We have had two straight years of lower than normal inflation. But in 2017, we anticipate 3% inflation from higher costs in certain of our key chemicals, energy and other raw materials. We will also have a one-time increase in cost related to our cost transformation initiative and incremental cost in marketing and R&D in 2017 as we focus on our growth pillars. As a result, we estimate 2017 net income of $41 million to $48 million and EBITDA of $190 million to $200 million. Adjusted free cash flow is expected to be $80 million to $90 million after netting out approximately $60 million of capital expenditures, which includes our planned investment in the LignoTech Florida joint venture. At this point, let me turn the call back over to Paul.
Paul Boynton: Thanks, Frank. Turning to Slide 11, let me comment on the market conditions before turning to our four strategic pillars. In the cellulose specialties business, the acetate inventory issues of the past couple years appear to be settling out. We believe we are entering a period where fundamental acetate tow demand is relatively flat. Additionally, we see signs of more robust demand including capacity expansions in ethers and engine filtration segment and increased demand for tire cord. On the supply side, competitors continue to try to move volume from commodity to specialty grade and those with foreign operations are benefiting from the relative strength of the U.S. dollar. These factors in turn placed pressure on our prices and volumes. As Frank pointed out, cellulose specialty pricing is expected be down 3% to 4% in 2017, which is comprised of acetate prices being down about 2% in line with our prior guidance and the remainder due primarily to a mix shift towards lower priced non-acetate volume. In our commodity business, year-over-year viscose prices are stronger, while absorb material prices are experienced modest pressure. Our operations have the flexibility to produce either commodity viscose or absorbent materials. As such, we’re able to flex our production to take advantage of market conditions and our planning to produce even more viscose in 2017. Despite the challenges we face in our cellulose specialties market, we've laid out specific objectives on Page 12, which will allow us to drive growth and value to our stockholders. First, we must continue to improve our cost and cash flow. Our cost transformation total will remain a critical core component of the overall strategy. We've done a commendable job thus far on this initiative, realizing $85 million of our $140 million objectives in just two years. But we also realize, we need to do much more to achieve our full goal and incremental improvements will only get more challenging. The second pillar of our strategy is market optimization, which sensors on responding to changing market conditions and emerging opportunities with our existing products, production and logistics capability to maximize profitability. This means working with our customers to enhance our value to them as well as penetrating more attractive market segments where we believe our products are currently under represented. As a simple example that we've already discussed, current viscose markets are yielding more attractive returns than absorbent materials. So we are working with our viscose customers and our operations team to optimize the flow of the highest value products at our lowest possible cost to this market. As another example, in some cases lower price cellulose specialty segments are more attractive than commodity markets. And therefore, we are working with customers in these segments to provide value products that fit our existing capabilities divided us with greater returns that we can achieve elsewhere. New products are the third pillar of our EBITDA growth strategy. We are committed to expanding our business by developing value-added products. To-date, we’ve made significant progress in developing and applying proprietary technologies to create new products across multiple end market. Many of these have been introduced to customers and these customers have been busy with lab and manufacturing trials, which have led to initial commercial orders. For example, we expect sales of $40 million in 2017 from new products going into engine filtration, casings, and tire cord end market. This represents a small, but important step towards our goal of 20% of our revenues from new products developed within 10 years. As we discussed in our last update call, we continue to focus on new ether products, utilizing a very unique technology to achieve performance levels at a value we believe is not currently available in the market. We will continue to work towards commercialization of these ether products. We’ve make concerted efforts in the past couple years to reinvigorate our new product pipeline and it's good to see some of these early results. Finally, last pillar of our strategy is acquisition. We have positioned our balance sheet to allow us to pursue investment opportunities that drive stockholder value. Our focus will be in areas that leverage our core competencies in markets that we find attractive and that are complimentary to our existing business. We expect these investments to expand our field of vision by increasing our capability set and exposing us to a broad array of growth opportunities. In doing so, we hope to create greater diversity and growth in our revenues and earnings stream. These investments will have returns that exceed our cost of capital, provide stable EBITDA, and allow us to effectively mange our leverage over the long-term. Our first tangible investment in our acquisition pillar came a couple weeks ago, when we broke ground in Fernandina Beach on our joint venture at LignoTech Florida. Phase I of this investment will be up and running mid-2018. This is a positive step towards growth, diversification and long-term value creation. With a solid performance we delivered in 2016, Rayonier Advanced Materials is poised to execute on investments and growth in 2017. These initiatives are ambitious, but I am confident we have the right team in place with the experience, expertise and urgency required to achieve the necessary result. Now, I'd like to go ahead and open it up for questions.
Operator: Ladies and gentlemen, at this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of John Babcock with Bank of America Merrill Lynch. Please proceed with your question.
John Babcock: Hey. Good morning, guys. One quick question on the CS side, I mean clearly you guys have been targeting essentially acetate pricing down 2%. I just want to get clarified, is that on the contracted side or is there any sort of pricing pressure on the spot side? And then also if you could remind us how much spot volumes you have in acetate?
Paul Boynton: So John, we have little, virtually no spot volumes on acetate. So that 2% is on our contracted business. We probably commented in the last call that we still had pricing negotiations ongoing. And so those are all now included, but those are part of contractual business, not necessarily spot business.
John Babcock: Okay. And as far as the newer volumes, I mean clearly we're continuing to see price or see volume pressure rather on the acetate side. Can you give us some sense as far as where acetate volumes are kind of going in the year ahead and then also essentially some of the areas and if you could quantify the volume benefit perhaps on some of the newer tonnage that you guys are picking up to help offset those pressures?
Paul Boynton: Yes. We haven't quantified the magnitude of our mix shift out there. Obviously, acetate is under pressure a bit and you've heard some of our customers probably already talk about their volume. We see it going down, I'd say slightly in the single digits percent and we're picking up the balance of that in other market segments.
John Babcock: Okay. And as far as CapEx, can also remind us what the maintenance CapEx for Rayonier Advanced at this point, I mean it seems $60 million out leased from the numbers that I'm seeing is the lowest level since 2009. So I want to get a sense for and that includes obviously the LignoTech joint venture. So to provide some kind of clarity on whether there's any growth CapEx in there or anything we should take note of?
Frank Ruperto: There's about $50 million in maintenance CapEx is the way you should think about our business going forward. You saw elevated levels over the last several years. We had the CSC projects, we had Boiler MACT, and this year we've got LignoTech Florida, so it's roughly about $50 million is what I planned this year and kind of going forward. It should move a little bit around that depending on which outages we have going on between the different facilities, but $50 million is a good maintenance CapEx number to use going forward.
John Babcock: Okay. And just last question I had for you before I turn it over. With regards to the increase market in R&D spend, is that something that you see is primarily a 2017 item or is that something that we should also expect to see in 2018 and perhaps even more than – even later than that.
Paul Boynton: So John, we commented it's one of our key pillars for growth and we continue to invest in that area. Not only in people, but obviously in trials that we're running equipments to run the new products and kind of assortment things. So we would expect that to stay slightly elevated, it's up modestly and we continue to invest in it, but it should be from a part of our path going forward.
John Babcock: Okay, so it sounds like it's only a couple million, maybe not even that?
Frank Ruperto: Yes, I see that’s a fair number.
John Babcock: Okay, thanks.
Operator: Thank you. Our next question comes from the line of Roger Spitz with Bank of America Merrill Lynch. Please proceed with your question.
Christopher Ryan: Hi, yes, this is Chris Ryan on for Roger. Thanks for taking my question. First question for, what is your view for Chinese cigarette demand growth sort of decline going forward?
Paul Boynton: Yes, we've commented many others comment, it’s not a terribly transparent picture out there. They have done a significant amount of destocking over the last couple years and it appears to us that that is largely playing out now and settling out. We believe fundamental demand from our conversations with customers there in terms of acetate tow is going to be slightly flat if not up a little bit in China. Again not a terribly clear picture on that, but that's our expectations based on the conversations we had.
Christopher Ryan: Thank you. And if you can comment, has the Brazilian producer changed his tactics since the go private transactions as far as you can tell?
Paul Boynton: I'm not too sure those tactics, but we’re certainly aware that they're out there in the marketplace, we compete against them. No I don't know anything other than that. You have to ask them with regard to that. So we've got limited visibility, Chris.
Christopher Ryan: Sure, and then finally, what is your expectation for 2017 cash restructuring costs and to what extent do you think working capital be a source or use of cash?
Frank Ruperto: Yes, so going into 2017, we don't have significant restructuring costs built in. We do have a one-time cost built into that cost piece of the guidance bar that you see one of the projects that you have. So yes, working capital right now, we're referencing as roughly flat. We had a significant pick up last year in working capital. It's something we will continue to focus on and see if we can find more opportunities, but given the significant pick up last year on working capital, we've guided extra flat on that.
Christopher Ryan: Got it, thank you. That's all my questions.
Paul Boynton: Thanks Chris.
Operator: [Operator Instructions] Our next question comes from the line of Steve Chercover with D. A. Davidson. Please proceed with your question.
Steve Chercover: Good morning, everyone.
Paul Boynton: Hi.
Steve Chercover: So the first question is from a modeling perspective. Do you recommend that we use the Q4 average CS price of $1,505 as a starting point and then take 3% to 4% off of that?
Frank Ruperto: Yes, I would look at the average over the year and take 3% to 4% over that from a modeling perspective. That's how we think about it. That's how we tend to guide us and year-over-year full-year basis.
Steve Chercover: Okay, so that $1,525 because I figure there might be some mix issues within that fourth quarter number so? Okay, thanks for that.
Frank Ruperto: A little, but I think it's – I don't think that's going to change your numbers a whole lot.
Steve Chercover: Yes, okay. And then in the past, I believe you said that the margins on ethers and other specialty were similar to those in acetate. But obviously the selling places are a bit lower, but our production cost lower as well, so – are those margins similar?
Frank Ruperto: Yes, Steve it’s varied out there and in some cases certainly a lot of our ethers businesses are similar. In some cases it's not and in these other segments depending where we're picking up the business, it maybe somewhat different or very different if you will. So it's all over the map a little bit in terms of the actual margins. So we don’t have any guidance out there. So I can't specifically say where it's going to be exactly depending on the customer, the product that we’re supplying, and so it's a bit varied.
Steve Chercover: Okay, and then quick question on LignoTech and I guess still a ways away, but obviously you wouldn't even pursue it. You didn't expect to earn-in excess of your cost of capital. Is it going to be a new business segment or are you just going to report it as a line item, what finally comes on stream?
Paul Boynton: Yes, it's going to come through as a line item. So where we don't consolidate, but we don't plan to consolidate LignoTech as we're not a majority owner. So it will come through as a single line item on our P&L.
Steve Chercover: Will you give us any I guess visibility in terms of selling prices and what the end markets are like in the margins even if it's not consolidated?
Frank Ruperto: Our partner goes into great detail on their views on the market and the cellular specialty side as they do that. Given we're not selling any lignin yet. We haven't thought through that issue from how much disclosure would be helpful to analysts on this call. But obviously, Beauregard will be giving out significant detail on the lignin markets as they typically do on their calls.
Steve Chercover: Yes. Well, we don't cover Beauregard, but I guess - for a wish list, it would be nice to know that it's not just a pure black box, so if you can help us [indiscernible] that would be great. Thank you.
Paul Boynton: You’re, that’s fair Steve, that we just again it's where 18 months out before we sell. We just haven't tackled that question yet, but good point.
Steve Chercover: Understood. Thanks, Frank.
Operator: Thank you. Our next question comes from the line of Paul Quinn with RBC Capital Markets. Please proceed with your question.
Paul Quinn: Yes. Thanks very much guys. Just following up on Steve's question on LignoTech and disclosure. If we looked at Beauregard’s recent disclosure with regard to how they characterize the lignin market? Is the product that’s going to come out of LignoTech representative of what they're making now or is their mix different?
Paul Boynton: So, I'd say it's relatively similar to their mix that they have today and large part of that going into the construction markets.
Paul Quinn: Okay. Thanks for that. And then just on the new products, you’ve referenced $14 million, I guess that's sales in 2017 as part of your plan to grow that to 20%. The LignoTech is going to fit into this new product category as well?
Paul Boynton: No, we've attempted to put it into that acquisition side of things and driving that, so we haven't included there.
Paul Quinn: Okay. And the goal of 20%, is that 20% of sales?
Frank Ruperto: Yes, 20% of sales and within 10 years.
Paul Quinn: Okay. So the 14 at 870 is the small. Okay, so essentially you're going to have to really ramp up this new product development?
Paul Boynton: Yes. You're absolutely right. And we're doing that now and again, we said this is just a small, but we thought significant step as some of these things are being picked up in the marketplace that we appreciated and they take time and they've been pushing new products out there. So we're pleased with the small progress we've made and again we've got a lot of activity going on, but we hope we’ll bring in and help us meet that goal in the time period.
Paul Quinn: Okay. And just a quick one maybe to Frank on modeling SG&A 2017 guidance that seems to be all over the map on a quarterly basis in 2016, what are you expecting for the full-year?
Frank Ruperto: Flat full-year this year.
Paul Quinn: Flat on 2016. Thanks so much guys. Cheers.
Paul Boynton: Thanks, Paul.
Operator: [Operator Instructions] Our next question is a follow-up from John Babcock with Bank of America Merrill Lynch. Please proceed with your question.
John Babcock: Point that I was hoping to get a little bit more color on it was essentially on the acquisition front. I know you guys have talked about essentially going into complimentary areas and all that and essentially trying to capture some growth. And I was just wondering, it looks like I mean clearly with the lower CapEx here, it looks like that pay down kind of slow down a little bit. Are you guys at the point where you're within a relatively reasonable timeframe to be announcing something here or how should we think about that?
Frank Ruperto: So John, we have an active program to evaluate opportunities as they come along. So we are always looking at opportunities as we move forward, and again our focus is in areas that are complementary to our core competencies of manufacturing excellence and processing technologies and cost takeout in the cellulose specialty chemicals, but we don't have anything to announce at this point. So you’ll just have to stay tuned, but obviously it is a key focus and when we find the right opportunity, we will pursue it. But we're also very prudent and don't want to pursue something that we don't think will create value for our shareholders.
John Babcock: Okay. And as far as the debt pay down, is there any reason to think that perhaps the pace might fall a little bit in 2017?
Frank Ruperto: It depends on our use of capital, right now our capital allocation plans, but right now, we have some minimum debt pay downs that we anticipate to do and then depending on whether or not we see opportunities to use the capital otherwise that we think is higher returns will pursue that before we pursue more debt pay down.
John Babcock: Okay. And are you expecting higher interest rate in the next year or so from the increase?
Frank Ruperto: Yes. We do have some floating rate debt, so we will see that portion of our debt, the non-bond debt increase and float with wherever LIBOR rates go.
John Babcock: Okay. And I assume the $37 million guidance for the year does that include any debt pay down?
Frank Ruperto: That includes just minimal debt pay down and it includes on that perspective of slightly higher rates.
John Babcock: Okay. Perfect. All right. Thanks guys. End of Q&A
Operator: Ladies and gentlemen, that does conclude our question-and-answer session. At this time, I will turn it back to Mr. Paul Boynton for closing comments.
Paul Boynton: Well, I like to thank you all for joining us today. In summary, we are pleased with the execution against our objectives in 2016. We feel confident that the strategic steps that we will take in 2017. Best positions Rayonier Advanced Materials to serve our customers with the highest level of quality, service and security of supply, thereby enabling us to drive long-term value for our stockholders. We look forward to updating you on our progress throughout the year. Thank you. Good morning.
Operator: This concludes today's teleconference. Thank you for your participation. You may disconnect your lines at this time.